Operator: Welcome to the Cumulus Media Quarterly Earnings Conference Call. I'll now turn it over to Collin Jones, Executive Vice President of Strategy and Development and President of Westwood One. Sir, you may proceed. 
Collin Jones: Thank you, operator. Welcome, everyone, to our First Quarter 2024 Earnings Conference Call. I'm joined today by our President and CEO Mary Berner and our CFO Francisco Lopez-Balboa. Before we start please note that certain statements in today's press release and discussed on this call may constitute forward looking statements under Federal Securities laws. Actual results may differ materially from the results expressed or implied in the forward looking statements. 
 These statements are based on management's current assessments and assumptions, and they're subject to a number of risks and uncertainties as discussed in our filings with the SEC. In addition, we will also use certain non-GAAP financial measures. We believe the supplementary information is useful to investors, although it should not be considered superior to the measures presented in accordance with GAAP. 
 A full description of these risks as well as financial reconciliations to non-GAAP terms are in our press release and SEC filings, and that press release can be found in the Investor Relations portion of our website and our Form 10-Q was also filed with the SEC on this call. A recording of today's call will be available for about a month via a link in the Investor portion of the website. Now with that, I'll turn it over to our President and CEO, Mary Berner. Mary? 
Mary Berner: Thanks, Colin, and good morning, everyone. This morning, I'm very pleased to let you know that we've refinanced our capital structure to secure a 5-year maturity with very favorable terms through a successful debt exchange and ABL facility upside and extension, which is an excellent outcome for the company given the generally difficult financing environment for legacy media companies. 
 Specifically, with the completion of these transactions, we have extended maturities to 2029, reduced the principal amount of debt outstanding by approximately $33 million, secured attractive interest rates, maintained covenant-like terms and increased our ABL facility availability by 25%. Importantly, by addressing the 2026 maturity wall, we now have considerable additional runway with which to continue executing against our strategic operational and financial priorities, including accelerating digital growth through ongoing investment, particularly in digital marketing services, reducing fixed costs to further enhance our operating leverage, which will be a big benefit to us as broadcast radio demand improves and continuing to reduce debt to delever. 
 Since our last call in parallel to refinancing our debt capital structure, we continue to make considerable progress against these priority areas with the benefit of that progress reflected in our Q1 results. In Q1, in line with pacing guidance, total company revenue was down 2.7%, which represented a marked improvement from 2023 trends and EBITDA was $8.4 million. Overall, digital continue to be an area of strong growth, increasing 7% year-over-year. 
 Once again, our digital marketing services revenue was the lead growth driver, up 25% in the quarter clearly demonstrating the positive impact of the investments we've made to date. These investments included the expansion of our digital sales force to capture more of the growing DMS space and the ramp-up of Cumulus Boost, our portfolio of presence products, which serves as a low-priced entry point for advertisers who are new to the company, and as 2/3 of our originally boost only clients have added broadcast radio or other digital products to their buys, the benefit of the boot strategy are compelling. 
 Our digital results also reflect our differentiated go-to-market strategy which centers on a versatile and well-connected feet on the street sales team offering, a suite of digital audio and digital marketing solutions. Our ability to walk this full product set into the customer's door continues to pay off as our customers value the personal relationship and our salespeople's ability to tailor and adapt solutions that fit their particular business needs while remaining responsive to the continually changing dynamics of the digital ad market. 
 This approach is yielding impressive increases in both new clients and the proportion of formerly radio-only clients who now buy digital products as well from us. Specifically, in the first quarter, we increased total DMS customers by over 25%. Additionally, we drove a 12% improvement in the percentage of our previously radio-only customers who now buy DMS as well. And we continue to see the ability to up-sell these legacy advertisers as a very large opportunity. While we're still in the early stages of executing our DMS growth plan, we remain very bullish about this strategy. 
 Our other 2 digital revenue streams, podcasting and streaming also grew in the quarter. Up low single digits year-over-year. Podcasting revenue performance continued to improve sequentially on a quarter-over-quarter basis. As we mentioned on our last call, first quarter streaming revenue was impacted by the expiration of a third-party fixed rate ad sales contracts. However, we remain confident that taking back sales responsibility for our station streaming inventory is a smart move, both strategically and financially, especially given our successful experience with taking control of the NFL stream inventory 2 years ago. 
 In fact, by applying the same approach that drove our success with the NFL stream to the management of our NCAA streaming rights, we increased our streaming affiliates by almost 60% during March Madness and the final 4 run. In aggregate, despite the difficult comp from the expired sales contract, our streaming revenue grew in the quarter, an indication that our new streaming strategy is working. Moving to broadcast radio. 
 The Q1 trends in our national spot and network business significantly improved in 2023. In aggregate, these 2 national businesses were down mid-single digits during the quarter. As a reminder, our national spot revenue is embedded in the spot revenue line in our earnings press release. and the combination of it and network revenue makes up approximately 50% of our total broadcast revenue. Spending by advertisers in certain key categories, including consumer packaged goods and insurance continued to show meaningful growth. In insurance specifically, a top vertical within the financial category, which is a top 5 category for us, we are encouraged by the return of several large clients who sat out most, if not all, of 2023. 
 Additionally, we saw strong increases in the food and restaurant, pharmaceutical and retail categories as well as a heightened interest in live sports given its strong listener trends. As mentioned on our last earnings call, we booked the most revenue ever for the Super Bowl. And after that, we achieved similar levels of success with the NCAA men's and women's March Madness championships. However, despite these positive indicators, the recovery in national advertising remains very choppy as advertisers across several key categories, including mortgage, banking and home improvement continue to cite the overall interest rate environment as a significant obstacle to spending. 
 With respect to local spot, while still down, the revenue performance improved in Q4 of 2023. We given historical trends, we would expect that local broadcast radio, which does not drop off as quickly and significantly as our national broadcast revenue, we'll see a recovery that is more gradual and muted than the rebound we may be starting to see in national. Regarding political, revenue for the quarter was $2.2 million, down 55% from 2020, reflecting less competitive presidential primary. 
 Looking ahead, national advertisers are continuing to avoid the desire to increase spending, but many still cite the uncertain macro environment as an impediment to a consistent return to more normal spending patterns. Further, as we saw in the first quarter, both local and national broadcast clients continue to book quite late, reflecting their lack of visibility into the course of the economy. With that backdrop, our revenue is currently pacing down low single digits for Q2. In this context, we remain acutely focused on disciplined expense reductions. 
 In Q1, results included approximately $4 million of fixed cost reductions versus the prior year, which was on top of the $120 million or 26% of our total fixed cost we had already taken out since the pandemic through the end of 2023. We've significantly improved the operating leverage of the company, which will drive EBITDA growth as the advertising environment continues to recover and reducing expenses across multiple facets of our business continues to be 1 of our primary operating goals. To wrap up, I want to emphasize that given the continued uncertainty of the advertising outlook, our successful completion of what is effectively a full capital refinancing was a critical step and a big achievement for the company. 
 Again, we extended maturities to 2029 and reduced the principal amount of debt outstanding by approximately $33 million, secured attractive interest rates, maintained covenant light turns and increased our available ABL liquidity by 25%. Our new capital structure provides us with additional time and flexibility to execute against our key business priorities, celebrating digital growth, reducing fixed costs and continuing to delever our balance sheet, each of which is foundational to our ability to build long-term shareholder value. And with that, I'll turn it over to Frank. 
Francisco Lopez-Balboa: Thank you, Mary. Revenue in Q1 was $200 million, down 2.7% year-over-year, consistent with the pacing guidance from our last call, while still a decline, it represented an improvement versus 2023's performance. These results were driven in part by better trends within our Broadcast business, particularly those tied to national advertisers as well as growth in digital. Within digital, digital marketing services revenue grew 25% and while podcasting and streaming each increased low single digits. 
 From a category perspective, consumer packaged goods, insurance and pharmaceutical for top-performing key national categories while our weakest were mortgage,  home improvement and banking. In local spot, home products and general services were our best-performing categories, while professional services and retail were our weakest. We generated $2.2 million of political revenue in Q1 versus $4.9 million in the same period of 2020, with the decrease reflecting less competitive presidential primaries this year. However, given what is shaping up to be a heavily contested general election accompanied by a large number of down-ballot races across our footprint, we're expecting robust political revenue in late third quarter and fourth quarter. 
 Moving to expenses. Total expenses in the quarter decreased by approximately $4 million year-over-year, which is largely driven by fixed cost reductions, partially offset by higher variable expenses associated with the shift in revenue mix. As always, we continue to focus on disciplined cost reduction to improve operating leverage, which will benefit EBITDA as the advertising environment continues to recover. 
 Turning to the balance sheet. As Mary mentioned, with the completion of the exchange offer we reduced debt outstanding by $33 million, extended approximately 97% of our maturities to 2029 from 2026, secured attractive interest rates and maintained covenant-light terms. Following the exchange, we have only approximately $22 million of debt maturing in 2026, which is very manageable. The exchange will not result in cancellation of debt income for tax purposes. Additionally, we completed an amendment of our ABL facility, which extends the existing maturity to 2029, increases the facility to $125 million from $100 million for the same interest rate terms. 
 In combination, the completed exchange offer and the amended and extended ABL facility provides the company with the ability to focus on our strategic, operational and financial objectives, including debt reduction, which remains our priority. Looking ahead to the second quarter, while we're seeing an increase in demand from advertisers in select categories, the uncertain macro environment contains away on many others. As a result, total company revenue is currently pacing down low single digits. With that, we can now open the line for questions. Operator? 
Operator: [Operator Instructions] Our first question comes from Michael Kupinski from Noble Capital Markets. 
Michael Kupinski: Historically, you stated that your digital businesses were 1/3, 1/3, 1/3 represented by direct marketing services, broadcast and streaming I was wondering with the strong performance of direct marketing services, if you can kind of give us some thoughts about the breakout of your digital businesses? And then given your second quarter guide of pacing data, I was wondering if you can kind of give us some thoughts on how the digital businesses are pacing. 
Francisco Lopez-Balboa: Michael, it's Frank. I'll take that. Our businesses are still roughly 1/3, 1/3, 1/3 and varies from quarter-to-quarter. I mean I think this quarter, you'll find given the strong growth in the DMS revenues that's rough -- a little bit more than 1/3. I'll also know in our DMS growth for this quarter. We're now including some of our e-commerce third-party digital platform revenues which was reported previously in other income, and we're now reporting that in the DMS line, and that probably represented something like 6% of that growth for the quarter. In terms of pacing for the quarter, we're pacing in digital right now in the mid-single digits. 
 Extremely strong in DMS, consistent with the results we have in the first quarter. and in podcasting is also pacing up nicely. Too early to tell where the quarter is going to be in digital, but I expect it won't be too dissimilar from the first quarter results in terms of growth on an aggregate basis. 
Michael Kupinski: Got you. And then on -- I was wondering if you can provide some color on the $4 million fixed cost reduction. You indicated that there were further opportunities there. I was wondering if you can just give us a little bit more color on the prospects for additional fixed cost reductions that you think that you can take out there? . 
Francisco Lopez-Balboa: Good question, Michael. I know every quarter, I'd say it's harder and harder to take out fixed costs and we keep on doing that. If you look at the quarter, most of the fixed cost reductions were in areas of the use of outside contractors, renegotiating fixed-price contracts in addition, people savings. We were more efficient this year in terms of our production cost for sports. I think that's going to be a potential area of opportunity as we continue to realign the opportunity there with sports and it's an incremental approach. 
 There's not 1 single large item that we look across the footprint. It's really a battle on a month-to-month basis when we look at where we're spending our fixed costs and where we can reduce it. And as a reminder, when we look at our business now, we're roughly -- 55% to 60% of our cost base is fixed. So it talks to the operating leverage we have to the company with a return of improved advertising revenue in particular. 
Mary Berner: I'll add something to that. Yes. We also -- we're continuously looking for ways to improve functions through technology implementation, better process and other buckets that we have a keen eye on is real estate. As Frank said, there's no big anything, but we incrementally hack at it every month. 
Operator: The next question comes from Jim Goss of Barrington Research. 
Patrick William: This is Pat on for Jim. On the digital marketing services side, are you -- the client additions that you're getting, are you winning clients from other DMS providers? Or are these generally kind of like just doing new to the space we're kind of more self-serve businesses. 
Mary Berner: It's generally a combination of both. There are a lot of small digital agencies that have built those capabilities. And there's also large -- several large providers of single-point solutions. But there are very few companies that successfully offer small- and medium-sized businesses, the full spectrum of digital marketing solutions. And so that's our angle. We're able to do that profitably and at scale. So we go in and provide advertisers with unique packages that combine audio and digital advertising seamlessly. And as we do that, because we're able to pack them together, the ROIs tend to be better. 
 So I'd say many of them are new. I don't know at the top of my head, I'm not sure how many. I think it's probably -- if I remember correctly, it's probably -- 70% of them are new advertisers. Of those, probably half of them are -- we pull from another agency or somebody else that they're doing business with.  So it's a very -- it's a good business for us. 
Patrick William: Within podcasting, can you maybe talk about some of the improvement in ad trends there? Is that just a national recovery? Or are you sort of expanding kind of like the sales efforts to include local in that as well? 
Mary Berner: Well, we have -- yes, both. A lot of it is what the product is, and we hit another milestone recently with 47 of our shows charting on the Apple Podcast  and that's the most of the history of our podcast network. That, for the first time, also includes 12 local podcasts, which is the most ever. So we have a nice trajectory on the listing side of our podcasts and as we're -- podcasting National, obviously, was hit with the same national headwinds that we saw with broadcast radio. 
 But it's starting to rebound. And Local continues to gain traction generally around the power brands that we have, like the Ticket in Dallas or the Bird Show in Atlanta. So the podcast efforts is both local and national and the growth -- the revenue growth comes first from the listenership growth. 
Patrick William: Okay. And then just around your pacing guidance or your pacing commentary. I guess -- are you kind of seeing just like consistent trends in the second quarter with the first for the core broadcast side? Is it kind of just a slower, I guess, trend of, I guess, improvement there for -- on the national side? Or should we talk about like what you're pacing you're seeing on the -- on broadcast. 
Francisco Lopez-Balboa: Sure, I'll take that. So podcast -- I'm sorry, on broadcast, the pacing within broadcasting right now when you combine both the local spot, the spot as reported and network is combined is down in mid-single digits, but there's a lot unpack there at this point. First, on local, we're seeing more and more business booking late in month -- and so as an example, in April, we picked up significant pace from the beginning of April through the end of April in our local spot businesses. and it remains to be seen if that's going to be the same trend for the rest of the quarter. 
 And if it is, that obviously would be good news. When it comes to national, which impacts both a combination of our spot revenues. As a reminder, part of our spot revenue has our local national and the network, which is all national. That tends to be very, very lumpy. And in the second quarter. As a reminder, we don't have other than the finals of the NCAA which fell into April. It's a very light sports quarter for us. And when we saw the trends in the first quarter, Mary talked about this in her prepared remarks, the Super Bowl and the NFL did very well as well as the NCAA. We don't have that same that same factor in the second quarter. 
 So that may impact National in the second quarter, but it's too early to tell. So the national market continues to be pretty long people and you have to look at what we have on the air, sports, non-sports, and local pacing, improving throughout the month. These are factors that -- we'll just have to see in the next 2 months, and we'll add that when we had our last earnings call, we had that basically 2 months into the quarter. We had roughly a month to go before the final results here, we are with 2 months to go in the quarter. So we'll have more to talk about here obviously on our next earnings call. 
Operator: I'll now turn it back over to the company for any closing remarks. 
Mary Berner: Well, thank you, everybody. I appreciate your time, and we look forward to speaking to you again next quarter. 
Operator: This concludes today's call. Thank you very much for your attendance. You may now disconnect your lines.